Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Chatham Lodging Trust Third Quarter Earnings Conference Call. During today’s presentation, all lines will be in a listen-only mode. Following the presentation, the conference will be opened for questions (Operator Instructions). This conference is being recorded today Tuesday, November 05, 2013. I will now like to turn the call over to Jerry Daly at Daly Gray. Please go ahead.
Jerry Daly: Thank you, Maurice. Good morning everyone and welcome to the Chatham Lodging Trust third quarter 2013 results conference call. Yesterday, after the close of the market, Chatham released results for the third quarter ended September 30, 2013, and I hope you’ve had a chance to review the press release. If you did not receive a copy of the release or you would like a copy, please call my office at 703-435-6293 and we’ll be happy to email or fax you one or you may review the release online at Chatham’s website, www.chathamlodgingtrust.com. Today’s conference call is being transmitted live via telephone and by webcast over Chatham’s website and at streetevents.com. A recording of the call will be available by telephone until midnight on Tuesday, November 12, 2013 by dialing 1-800-406-7325 at with a reference number of 4646993. A replay of the conference call will be posted on Chatham’s website. As a reminder this conference call is the property of Chatham Lodging Trust, and any redistribution, retransmission or rebroadcast of the call in any form without the expressed written consent of Chatham is prohibited. Before we begin management has asked me to remind you that in keeping with the SEC’s Safe Harbor guidelines, today’s conference call may contain certain forward-looking statements about Chatham Lodging Trust, including statements regarding future operating results and the timing and composition of revenues among others. Except for historical information, these forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially, including the volatility of the national economy, economic conditions generally, and the hotel and real estate markets specifically, international and geo-political difficulties or health concerns, governmental actions, legislative and regulatory changes, availability of debt and equity capital, interest rates, competition, weather conditions or natural disasters, supply and demand for lodging facilities in our current and proposed market areas and the Company’s ability to manage integration and growth. Additional risks are discussed in the Company’s filings with the Securities and Exchange Commission. All information in this call is as of November 5, 2013 unless otherwise noted, and the Company undertakes no obligations to update any forward-looking statements to conform the statements to actual results or changes in the Company’s expectations. During this call we may refer to certain non-GAAP financial measures, such as EBITDA and adjusted EBITDA, which we believe to be common in the industry, and helpful indicators of our performance. In keeping with SEC regulations we provided and encourage you to refer to the reconciliations of these measures to GAAP results in our earnings release. Now to provide you with some insight into Chatham’s 2013 third quarter results, allow me to introduce Jeff Fisher, Chairman, President and Chief Executive Officer; and Dennis Craven, Executive Vice President and Chief Financial Officer. You may have heard some coughing in the background. Jeff has a bad cold and is hoarse and will give brief remarks and then turn the line to share those remarks over to Dennis. So Jeff let’s see how well you can cope this morning.
Jeffrey H. Fisher: I appreciate it Jerry. Thank you good morning everybody to Palm Beach. We appreciate you sparing few minutes with us this morning. I will be brief as Jerry said, but I do want to say a couple of things. Of course we are excited to tell our story. We feel it’s a great story and remains a great investment opportunity for a lot’s of reasons that we’ll talk about in detail on this call. We have acquired 24 high quality hotels comprising over 3,200 rooms for approximately $625 million since the IPO. At Chatham we focus on acquiring hotels that are well located within the top 25 MSA’s or gateway coastal markets where the customer base is concentrated around high growth energy, technology or medical industries, we expect to out sized performance. But when you look at our portfolio, please stay approximately 83% our hotel EBITDA is derived from top 25 markets up substantially from the IPO, when it was 54%. We have increased our portfolio RevPAR from $71 since our IPO to now are $110 projected for 2013. At these levels our RevPAR is well above the brand averages for extended-stay and select-service hotels, a testament to the type of portfolio we have accumulated. Our markets are showing strong growth characteristics with comparable RevPAR up 6.7% for the quarter and 6.5% year-to-date through September. This portfolio is still delivering consistently strong RevPAR growth and we’ve been able to make some great acquisitions this year in markets that not only command high absolute RevPAR, but exhibit strong growth characteristics. Through September 30, the six hotels we’ve acquired since last December have seen RevPAR growth almost 12% far exceeding industry performance. I think I’m going to quit here and turn it over to Dennis to finish my prepared remarks. Dennis?
Dennis M. Craven: Thanks Jeff. The only stock market for us like many hotel owners has been the D.C. area. The recently converted D.C. Residents Inn with [indiscernible] for all of the few days of the third quarter. So it’s not necessarily a good performance parameter, but if you look at our Tysons Corner Residents Inn, RevPAR was down approximately 17% for the quarter of which most of it was due to entirely by declines in rate. As we provided in our guidance, we expect the trend will continue in the fourth quarter in the D.C. market due to a combination of obviously the shutdown and the residential impact from sequestration. We do have a unique understanding here at Chatham of owning extended-stay select-service hotels, through our relationship without our hospitality, which we feel is one of if not the best operators in the extended-stay and select-service space. The relationship allows us to respond quickly to market opportunities or operational challenges or operational opportunities as well. A perfect example was our acquisition of the Houston Courtyard Hotel in early February of this year. Since acquiring the hotel and transiting management to Island on the date of acquisition, we’ve refocused the revenue management strategies and restructured the operating SOP’s with incredible success. In 2013, we’ve raised the RevPAR index over 400 basis points and increased our operating margins at the hotel by almost 500 basis points. When we started an acquisition with the support of Island, we expect that we’ll able to get some additional to use both the operations, whether it’s revenue related, or operations related or some combination of both. It’s a unique benefit that accrues for the shareholders of Chatham. Seizing on opportunities like this allows us to continue to increase our already leading industry margins. We’ve grown our hotel EBITDA margins from 31% in 2010 to approximately 39% in 2013. In the third quarter of 2013 we were able to drive margins 130 basis points higher to 40.1%. We expect most of the RevPAR growth in 2014 will be driven by rent [ph] and as we’ve spoken to many times, improving our operating model is very efficient at driving incremental revenues for the bottom line. Excluding the hotels acquired in 2013, which Jeff alluded to, which are strong performers and from a growth perspective, this year we’ve been able to generate flow-through approximately 1.6 times since 2010, very strong results for those hotels that we’ve owned for more than a year. Improving margins, acquisitions and through an almost 25% reduction in interest cost, has fueled an almost 71% rise in adjusted FFO for the quarter to $10.8 million with adjusted FFO per share coming in a 10-year overestimate at $0.48 a share. We’ve made tremendous advances driving FFO per share in 2012 and 2013 and when you take the consensus estimates for FFO per share in 2014 of $1.72 per share. It would imply an approximately 24% cumulative annual growth rate in FFO per share since 2010, which is very attractive and ranks Chatham as the third best performing lodging REITs over that tide behind a couple of highly leveraged turnaround for service REITs. Importantly we’ve been able to drive this growth while de-leveraging our balance sheets to the lowest leverage ratios since 2010, presenting ourselves with a significant amount of capacity to make additional acquisitions. We have a very active pipeline for acquisitions, which allows us to make the right deal for our shareholders and we’ve been able to find targets with that strong RevPAR growth and internal growth prospect at least as good if not better than the internal growth rate of our current portfolio. We have one of the highest qualities of web service investment portfolios in the REIT base and we will continue to find assets that meet our very strict acquisition criteria, current earnings stream, increased cash flow and ultimately dividends. During the third quarter we completed a couple of acquisitions right after the end of third quarter. We completed the third. We acquired the 111-room Hampton Inn & Suites in Exeter, in New Hampshire in August for $15 million. We acquired in September at a great cost per key 180-room Hilton Garden Inn at the Denver Tech Center for $28 million. And then we acquired the beautiful 231-room Residence Inn in the thriving market downtown Bellevue, Washington for $72 million on October 31. We continue to source great deals through our network of relationships and these deals again continue to meet our strict underwriting criteria. They have strong growth characteristics, lots of corporate demand, perfect examples of the assets we want to build into our portfolio. We’ve got a great partner in Island Hospitality that helps us make deals where we extract or create significant value for our shareholders. It’s a great advantage to able to underwriting diligence acquisitions across the country through this relationship. When you look at the last two transactions we’ve done in both Denver and in Seattle in the Bellevue market, we know a lot of – we have a lot of market knowledge in those markets. Given the fact that we own few hotels in the Denver market and four hotels in the Seattle market through our Innkeepers joint venture and Island Hospitality operates all six of those assets. With respect to the Innkeepers joint venture RevPAR EBITDA continue to show healthy gains with RevPAR up 6.6% for the quarter, and 6.4% year-to-date. Hotel EBITDA is around approximately 8% year-over-year and a key market for us in the joint venture is Silicon Valley and Silicon Valley continues to produce the above industry results with RevPAR of 10% for the quarter and 11% year-to-date, very consistent strong results. As most of you know during the quarter the Innkeepers joint venture completed a significant refinancing of its debt. Net proceeds were distributed to the partners. To date we’ve received approximately 90% of our original investment. In 2011, we used our balance sheets opportunistically to acquire the Innkeepers portfolio at a great price and value. And it’s evidenced by the great returns we’ve seen to-date. With industry experts predicting healthy RevPAR earnings growth in the coming years, we are actually thrilled with the consensual value of our promoted interests which we believe can increase our share cash flow from the current 10.3% to more than 20%, if certain returns are achieved. Importantly we wouldn’t have been able to take advantage for the Innkeepers transactions, had we not raised equity in early 2011 and maintained capacity to take down those deals. To-date in 2013, we have raised over $190 million in three follow on offerings, using money raised to acquire six hotels for approximately $220 million, reduced our leverage ratio and importantly could create capacity to fund additional acquisitions. Just nine months ago, our leverage ratio stood at approximately 51% and we have reduced debt to 26% at the end of the quarter. We take seriously our corporate responsibilities to our shareholders, which is why our long-term goal is to maintain a conservative debt structure and provide meaningful reliable dividends. Having said that, as we did in 2011, we are very comfortable increasing our leverage at the proper time to make deals that we believe will payoff handsomely for our shareholders. We are disciplined capital allocators. You look back at a time when Innkeepers and [indiscernible] we know when to say when. We will be patient and grow as equity in debt markets allow and where our proceeds can be used to purchase value enhancing deals. We have executed very well on our strategic initiatives to-date and the result in investment portfolio that produced this FFO per share, high operating margins, attractive growth prospects and allows us to pay one of the best dividends in the lodging REIT space. When you look at the quarter, we reported net income of $2.5 million or $0.11 per diluted share compared to net income of $1.5 million or $0.10 per share in the 2012 third quarter. Third quarter RevPAR was up 3.9% to $119 for the 21 hotels we open for the entire quarter compared to our prior earnings guidance of plus 4% to 5%. The conversion of the D.C. Residence Inn was expected to occur by September 1, but ultimately didn’t officially convert into the last couple of days of September due to primarily additional requirements from Marriott that we had to complete prior to opening. September RevPAR at the D.C. hotel is down about 45% and for the quarter at the hotel RevPAR was down approximately 57%. This obviously provides a nice inherent implied boost for us moving into 2014. Excluding the D.C. hotel, RevPAR was up a strong 6.7% on a 6.1% increase in rate to $144 and a 0.5% increase in occupancy to little over 85%. RevPAR performance far outpaced industry performance of 5.5% for the quarter at our comparable hotels. Our hotels have the highest occupancy rates of all lodging REITs attributable to couple of factors; first, we have acquired hotels in great locations, in markets that command high REITs and occupancy due to customer base and secondly, the upscale, extended-stay segment is becoming the segment of choice for many travelers and as evidenced by the fact that the spread between occupancy and extended-stay in hotels in the U.S. on average is widened over the past several years. Adjusted EBITDA for the Company rose 30.2% to $15.6 million for the quarter with the jump attributable to the acquisitions that we made in late 2012 and 2013, improving margins of 130 basis points for the quarter as well as the outstanding performance within our joint venture. In the quarter the joint venture contributed approximately $3 million of adjusted EBITDA to Chatham. Adjusted FFO jumped 71% to $10.8 million, up $4.5 million from the 2012 third quarter. On a per share basis FFO per share rose 4% to $0.48 compared to $0.46 in 2012. In the quarter, adjusted FFO per share was adversely impacted approximately if any due to the month long delay in the conversion of the D. C. Residence Inn, but was aided by the acquisitions of the Exeter in Denver hotels to the tune of about 10 year as well. In addition to our strong operating performance, the jump in FFO was aided by approximate $0.8 million or a 25% decrease in interest expense resulting from many financing efforts we have accomplished as well as the deleveraging we have accomplished in 2013. At September 30 the average interest rate on our debt is a very little 4.5% when we have locked in these rates for a substantial amount of time given the fact that the weighted average maturity of our debt is over seven years out from now. Net debt was approximately $163 million at the end of the quarter comprised of debt of $224 million, offset by approximately $50 million of cash. We closed our September common share follow-on offering on September 30 and we use the proceeds of the operating to pay down the line of credit on October 1. Typically we normally like to operate with about $5 million to $6 million of cash on hand at any point in time given the size of our portfolio. At September 30, our leverage ratio calculated as net debt divided by our hotel investments at cost was down to a multiyear low of 26%. Subsequent to the quarter-end we acquired the Bellevue Residence Inn and our leverage ratio is currently staying at 33%. As Jeff mentioned we are still comfortable operating at a leverage level of higher than the long-term goal of 35%. So we do expect that we can make another $150 million to $200 million of acquisitions and still be comfortable with our balance sheet. Our current ratios are very healthy with the debt service coverage ratio of approximately 4 times now. Net debt to hotel EBITDA approximately 4 times for Chatham on a standalone basis, and 4.9 times including our share of the joint venture. So it's certainly moved across the table in the right direction when you compare us to other lodging companies. We will continue to use property specific debt to fund a portion of our growth and we do expect to close on an approximate $48 million loan on the Bellevue Residence Inn sometime in November at a rate of approximately 4.97%. Rates do remain at a historically low levels and we will continue to take advantage of those markets to lock in solid long-term returns for our shareholders and provide increasing cash flows to reinvest and do additional assets for our existing assets pay down debts or return to shareholders by incremental dividends. We have no further renovation for the remainder of 2013 and in 2014 we only have two hotels scheduled, the Residence Inn and White Plains, New York and Hilton Garden Inn, in Denver Colorado. Our portfolio is in excellent physical condition with approximately 90% of our hotels having completed significant upgrades or having been built in 2010 or later. Again with minimal renovation obligations on horizon we will be able to generate significant cash flows. The Innkeepers joint venture that recently refinanced its existing debt with a new $950 million of non-recourse loan, had collateralized other remaining 51 hotels in the Innkeepers portfolio, it is a five-year interest-only loan comprised of a two-year loan with three one extensions. It carries an interest rate of one month LIBOR plus 480 basis points. It refinanced two previous loans that carry an average interest rate of approximately 6.74%. In connection with the closing of the joint venture pre-funded approximately $52 million of capital expenditures related to future renovation at the hotel and $5 million of other customary lender required reserves. Similar to Chatham's current position on the Innkeepers joint venture, adjusts the FFO into pivotal cash flow increased in 2014 and beyond and with a solidified capital structure in place with significant prefunded CapEx reserve and strong growth prospects on the horizon are returning to continue the increase. We’ve increased our projected full year FFO guidance $0.04 to range of $1.48 to $1.49 and our fourth guidance $0.03 to a range of $0.28 to $0.29. Our fourth quarter comparable hotel RevPAR is projected to grow 5% for 21 of our 24 hotels. The 21 hotels excludes the D.C. hotels, which provides the Tysons Residence Inn and the D.C. Residence Inn just due to the impacts from the government shutdown and sequestration as well as the hotel Residence Inn, which was up 56% from the 2012 fourth quarter due to significant business related to Hurricane Sandy. The Holtsville hotel loan is falling down our fourth quarter RevPAR growth by approximately 150 basis points. We’re projecting margin growth of approximately 50 to 100 basis points from approximately 34.5% to a range of 35% to 35.5% for the quarter. And again after the Bellevue acquisition that we completed on Halloween, we have approximately $59 million outstanding on our line of credit and approximately $5 million to $6 million of cash. Our projections do not include any other changes to our capital structure offerings and from a disposition position perspective we don’t expect any in 2013 for either Chatham or the joint. Before we turn it over to questions, we do obviously – we’ve provided a lot of information today regarding our third quarter results and our progress against our strategic plan and that’s what we intend to focus on during the upcoming Q&A session. With that we want to briefly acknowledge that as many of you know, on November 4 we received an unsolicited conditional proposal from BlueMountain Capital Management to acquire the company for $21.50 per share. This proposal is subject to due diligence, financing, negotiation, a satisfactory agreement and other conditions. Our board of trustees will review the proposal in due course in consultation with the financial and legal advisors and we want to assure you that Chatham Board is committed to acting in the best interest of the Company and its shareholders. With that, I’d like to ask that you please limit your questions to our financial and operational results for the third quarter as we do not intend to comment any further about BlueMountain’s unsolicited conditional proposal until the appropriate time. Thank you all in advance for your cooperation. And with that operator, we’ve concluded our remarks on the quarter and we’ll turn it over to you for questions.
Operator: Thank you. (Operator Instruction) And our first question comes from the line of Patrick Scholes with SunTrust. Please go ahead.
Patrick Scholes – SunTrust Robinson Humphrey: Hi. Good morning.
Dennis M. Craven: Hey, Patrick.
Patrick Scholes – SunTrust Robinson Humphrey: Just one quick question for you, that sort of your plans for the InnKeepers’ portfolio and would you ever consider monetizing that in the near-term given the significant promote value as opposed to issuing equity, rating [ph] function equity for new acquisition?
Jeffrey H. Fisher: Patrick, this is Jeff. I mean certainly we believe the value, there is tremendous value to promote. I think we expect that the value in that promote will increase in 2014 and beyond and seeing how we leverage a vehicle that promote further accrues to us in that situation. It’s obviously – and we’ve always talked about the fact that we obviously have owned that portfolio before. We’ve operated that portfolio through Island and through Innkeepers hospitality. Since most of it’s in inception, those hotels’ inception. So we like the portfolio and we have always said that ideally in the right situation. We would be the appropriate buyers for that portfolio down the road. But at this point, listen, we think the industry is set up for strong growth and that leverage vehicle will provide outside returns even moving forward.
Patrick Scholes – SunTrust Robinson Humphrey: Okay. I appreciate the color. And then just remind me again. In your press release you talked about your pipeline for targeted markets. Remind me again what you’re thinking about as far as targeted markets for any hotels.
Dennis M. Craven: Well, I think it’s – we still do briefly, but it’s really going to be somewhere what we’ve done currently this year. It’s going to be primarily gateway, coastal type markets, East Coast and West Coast. It’s going to be markets such as Houston that are tied to a pretty thriving energy sector. So it’s going to be hotels in those areas. Again we have a lot of focus on energy, medical, technology. I think as we continue to growth those are the characteristics we like to see.
Patrick Scholes – SunTrust Robinson Humphrey: Great. That’s it from me. Thank you.
Operator: Thank you. Our next question comes from the line of [indiscernible] with FBR. Please go ahead.
Nikhil Bhalla – FBR Capital Markets: Yes. Hi. Good morning everyone.
Jeffrey H. Fisher: Thank you.
Nikhil Bhalla – FBR Capital Markets: Hey, good morning. Just a question on the repositioning of the other remissions at the residents in Washington D.C. Dennis you may have already talked about it. I’m sorry if I missed this. Could you give us some sense of what the full year impact of the residents and renovation was both in terms of RevPar and EBITDA just so we can kind of know what to expect, how much of that you can recover next year. Thank you.
Dennis M. Craven: Yes. For a full year basis the impact on the portfolio is going to be close to 150. Obviously if we grow in [indiscernible] it’s a little bit different. This can be anywhere from 150 basis points to 200 basis points to the full company. It’s what we’ve seen so far.
Nikhil Bhalla – FBR Capital Markets: On RevPar?
Dennis M. Craven: On RevPar. And if you actually look at from an EBITDA perspective you are looking at well over $1 million of incremental EBITDA from that hotel.
Nikhil Bhalla – FBR Capital Markets: Okay. So despite D.C. being or at least expectations from the D.C. market being still, so weak next year, if nothing you should be able to make this back just the fact that you don’t have any renovations correct?
Dennis M. Craven: It’s exactly right, Nikhil. Even in the fourth quarter, October it just flipped into the Residence Inn program. October wasn’t a great month. Obviously had to shutdown slow, but we are starting to see some traction from the Marriott system, which we expected starting in November and it’s gotten better and better since in the last few weeks. We do expect in that we’ll be able to recoup what we want this year, next year. So it should be a nice addition to our overall performance for next year.
Nikhil Bhalla – FBR Capital Markets: Got it. And just one follow-up question on acquisitions. So this year you’ve done about $220 million of acquisitions. You talked about having a strong pipeline. Should we think that that’s about the same that you have in your pipeline in terms of value of acquisitions, maybe a little bit more – how should we think about that?
Dennis M. Craven: Well, I think our pipeline is typically anywhere from $200 million to $300 million plus at any point in time. We move in all of that fairly quickly by that well design, because we turned down a lot and we ultimately don't like. But I think, listen, our goal is to continue to grow this company. We have our sights set on a few nice assets. I think we’d like to be able to – by the time we talk in February, have a few more hotels in the portfolio might add to that.
Nikhil Bhalla – FBR Capital Markets: Got it. Thanks. Thanks, Dennis. Thank you.
Operator: Thank you. Our next question comes from the line of Bob LaFleur with Cantor Fitzgerald. Please go ahead.
Robert A. LaFleur – Cantor Fitzgerald Securities: Hey, guys.
Jeffrey H. Fisher: Hey, Bob.
Robert A. LaFleur – Cantor Fitzgerald Securities: You guys may know bones about the fact that you think that the Street doesn’t get it right when it comes to valuing your stock. I was wondering if you might go through sort of conceptually or intellectually how you think is the proper way to approach valuation for your company, no specific targets or anything like that, but just what you think the proper approach is and what you think the Street isn’t getting?
Dennis M. Craven: Obviously our company and our profile is certainly getting a little more attention in the last 24 hours. I think we’ve obviously been a small cap company in the past and therefore haven’t gotten a lot of attention. We’ve maintained our focus on proving out our model and there’s a few things to do that that’s obviously you’re looking where our FFO per share is, you’re looking where our EBITDA is, and especially when you look at where we expect it to be based on the acquisitions we’ve made, based on the acquisitions we intend to make I think obviously there’s only a couple of inputs into the story, and that is what type of multiples should be – you be valued at on our EBITDA or NOI. And then you obviously have the benefits that accrue to Chatham as a result of the joint venture. It’s not rocket science, but I think it’s merely the fact that we have been – from 2011. Our story was a little bit cloudy and a lot of people weren’t sure of what the JV meant to Chatham. Those things are starting to become more clear. We’re in a position now with over 90% of our original capital returned to us if that promote interest within the joint venture is closer. It’s not a dim light at the end of the tunnel. It’s a little more brighter and that obviously brings a little more variety to the Chatham story. Without having 90% of the capital return, 10% of the capital have been returned. It’s a very dim light at the end of the tunnel. So there aren’t a whole lot of inputs through evaluation, but I think it’s mainly getting making sure people understand Chatham, understand our earnings and our earnings training and also obviously the value of our off-balance sheet investments.
Jeffrey H. Fisher: Well, let me just add that we are here to build long-term shareholder value just like we did in the Innkeeper space. The [indiscernible] for emphasis is however find the value of this promote is probably not appropriate or I’ve seen your report. I think you’ve done a great job in addressing components of value overall, but you fundamentally believe that there is room in this cycle like we do and the JV is a great off-balance sheet investment for Chatham and shareholders to continue to grew further value as we reap the benefit from the cash flow and the dividends that that’s going to applying to this company. So all this immediate monetization conversation is literally short-term hedge fund banking that were really generally forever and have not ascribed ourselves to. We think there is lots of upside left and we intend to reap the benefits of that upside.
Dennis M. Craven: Yes, I think just when you look at kind of where our remaining original investment is, 10% of 37 million, it’s obviously that 3.7 million that hasn’t been returned to us. When you look at the FFO contributed and the distributable cash flow from the joint venture, it’s over $4 million in 2013 alone. So when you move that forward and you project some nice growth the actual cash-on-cash returned are very handsome and that benefits obviously our shareholder base.
Robert A. LaFleur – Cantor Fitzgerald Securities: At this point, is that where kind of the makeover [ph] is going to come from? It’s just the distribution of FFO. There are some more transactions anticipated, are there?
Jeffrey H. Fisher: Well, as we spoke to we don’t expect to any depositions at real stake within the joint venture. Every asset has been cumbered with new debt. So we believe that the balance sheet is in place and we’re in that to be able to reap the benefits of our annual cash flow that gets often I think.
Robert A. LaFleur – Cantor Fitzgerald Securities: Okay. Thanks, guys.
Jeffrey H. Fisher: Thank you.
Operator: Thank you. Our next question comes from the line of Charles Fitzgerald with V3 Capital Management. Please go ahead.
Charles P. Fitzgerald – V3 Capital Management LP: Thanks for taking my call. Jeff, I hope you feel better. I just want a brief comment.
Jeffrey H. Fisher: Yes.
Charles P. Fitzgerald – V3 Capital Management LP: To the best of our knowledge, V3 is currently Chatham’s largest shareholder. We’ve been shareholders in the company since our fund’s inception in 2011 and view ourselves as patient long-term shareholders. We believe that you’re seeing some with an outstanding portfolio and managed it very well, particularly Innkeepers saving where you created substantial value that continues to be unrecognized in the share price and underestimated by most on the sale side. For a variety of reasons the public markets are not going to pay fair value for your assets and quite frankly we don’t think BlueMountain’s currency reflects fair value either. The persistent discounting your stock had caused shareholders to suffer significant dilution value from the recent equity offerings. And we believe that they’re running a full sales process now and maximizing value on investor interest is high as the best course for the company and shareholders. We deployed and make sure our views known as we discuss the matter with your Board and the advisors and thank you for the time.
Jeffrey H. Fisher: Thank you, Charles and we intend to do just that. We appreciate your support.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Anthony Powell with Barclays. Please go ahead.
Anthony Franklin Powell – Barclays Capital, Inc.: Good morning guys. I just wanted to ask about the acquisition market. Are you seeing more competition for [indiscernible] assets within the lodging industry and do you expect more competition going forward? Thank you.
Jeffrey H. Fisher: I mean, yes, I think for us we haven’t seen any incremental change to the competition for assets. Obviously just like it was then a little different in terms of the outsiders, if you will, in the last cycle they just wanted to jump into the lodging space. We typically see fairly similar people on these deals, but the one thing that we’ve always prided ourselves is our ability to not participate in marketed type transactions. It’s the ability to go out there and find deals that find assets that are great assets for Chatham. Most of our deals have been off-market type transactions where we’ve been able to gain and buy those assets through our relationships with these guys. So typically in a marketed-type deal you’re going to see the similar players. I wouldn’t say there is a heck of lot more people jumping into the space. A lot of people got burnt perhaps six years ago in this from making some great investments into this space. So I think for us, we have to stick to what we do well, which is find deals outside of the standard marketing process where you eliminate that bid that comes from some market tight deals.
Anthony Franklin Powell – Barclays Capital, Inc.: And that’s it from me.
Operator: Thank you. And at this time, I am not showing any further questions. Please continue.
Jeffrey H. Fisher: We appreciate your participation today on the call and we will as we said move forward to create long-term value here and we are excited with Chatham’s future. So thank you all and we’ll talk to you soon.
Operator: Thank you. Ladies and gentlemen that does conclude our conference call for today. Thank you for your participation. You may now disconnect.